Operator: Greetings and welcome to the Simpson Manufacturing Company Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to hand the call over to Kim Orlando with ADDO Investor Relations. Please go ahead.
Kimberly Orlando: Good afternoon, ladies and gentlemen, and welcome to Simpson Manufacturing Company's Third Quarter 2024 Earnings Conference Call. Any statements made on this call that are not statements of historical fact are forward-looking statements. Such statements are based on certain estimates and expectations and are subject to a number of risks and uncertainties. Actual future results may vary materially from those expressed or implied by the forward-looking statements. We encourage you to read the risks described in the company's public filings and reports, which are available on the SEC's or the company's corporate website. Except to the extent required by applicable securities laws, we undertake no obligation to update or publicly revise any of the forward-looking statements that we make here today, whether as a result of new information, future events or otherwise. On this call, we will also refer to non-GAAP measures, such as adjusted EBITDA, which is reconciled to the most comparable GAAP measure of net income in the company's earnings press release. Please note that the earnings press release was issued today at approximately 04:15 P.M. Eastern Time. The earnings press release is available on the Investor Relations page of the company's website at ir.simpsonmfg.com. Today's call is being webcast and a replay will also be available on the Investor Relations page of the company's website. Now I would like to turn the conference over to Mike Olosky, Simpson's President and Chief Executive Officer.
Michael Olosky: Thanks, Kim. Good afternoon, everyone, and thank you for joining today's call. With me today is Brian Magstadt, our Chief Financial Officer. My remarks today will provide an overview of our third quarter performance and updates on our end markets. Brian will then walk you through our third quarter financials and fiscal 2024 outlook in greater detail. Before we jump in, I'd like to take a moment to share our deepest condolences with all of those who were impacted by Hurricane Helene and Hurricane Milton this past month. It's unfortunate circumstances such as these that inspire our mission to provide solutions that help people design and build safer, stronger structures. In staying true to our founder's core values, we are pleased to be in the position to assist with the recovery efforts through donations to both the American Red Cross and Samaritan's Purse to help the affected communities recover and rebuild. While the storms are impacting our sales in the Southeast region, I'm pleased to report that none of our employees were injured in the storms and that our facilities did not sustain any damage. Our thoughts continue to be with all of those that were affected by these tragic events. Now turning to our results. Our third quarter net sales totaled $587.2 million, which was above the prior year quarter despite the housing markets in both the US and Europe remaining under pressure. Importantly, we continue to outperform the US housing market. Our trailing 12 months North American volume growth exceeded US housing starts by approximately 500 basis points as a result of our growth strategy. North American volumes for the third quarter were relatively flat with last year, which led to net sales of $461.4 million versus $456.8 million in the third quarter of 2023. This includes a small benefit from our recent acquisitions. While product mix drove a higher average sales price per pound in the quarter, customer mix resulted in greater volume discounts applied. To further break down our North American volume performance, the national retail market saw high single-digit improvements due to our home center merchandising, additional shelf space and customer sales force education efforts. We saw component manufacturer volumes improved modestly over last year as we have continued to increase our market share by onboarding multiple trust component manufacturers. Our commercial and residential markets both experienced low single-digit declines due to difficult market conditions. We achieved mid-teens volume growth year-over-year in the OEM market as we have continued to gain market share, though it remains a relatively small contributor to our revenues today. Turning to Europe. Our third quarter net sales of $121.2 million increased by 1.8% or 1% on a local currency basis year-over-year. Our European business also outperformed the local market as we benefited from new customer wins and product applications. On a consolidated basis, our third quarter gross margin declined to 46.8% from 48.8% in the third quarter of last year, though remained approximately 160 basis points above the pre-COVID run rate. We continue to make investments in our people, engineering, equipment, software and other capabilities to provide even better support to our customers in anticipation of an acceleration in housing starts in the midterm. While our result in operating margin declined by approximately 290 basis points to 21.3% versus last year, it remained approximately 500 basis points above the pre-COVID run rate. In regard to future SG&A investments, we will continue to monitor the market and control costs accordingly. Consolidated adjusted EBITDA totaled $148.3 million for the quarter, a decline of 6.6% year-over-year. Now turning to our growth initiatives, which are underscored by our company ambitions, including strengthening our values-based culture, being the business partner of choice, striving to be an innovative leader in the markets we operate, continuing above-market growth relative to US housing starts, returning to the top quartile of our proxy peer groups for operating income margin, and longer term returning to the top quartile of our proxy peer groups for return on invested capital. As a reminder, our market-focused approach enables us to better serve our customers and identify new product and application opportunities. I'd now like to highlight some of these new business wins within our five end-use markets during the quarter, which are a direct result of the investments we've been making in our business to drive above-market performance. Beginning with the national retail space, our home center customers are increasing their shelf space of Simpson product to better serve their end customer. We expanded our off-shelf merchandising efforts resulting in new carts for anchors and fasteners in hundreds of additional store locations. In the component manufacturer market, we are committed to ongoing investment and growing our offering in this space to bring a more comprehensive set of solutions to the market. This was evident with the expansion of our equipment offering through the acquisition of Monet DeSauw and our continued investment in software solutions. Monet DeSauw is a leading manufacturer of large saws used in the fabrication of trusses within the US and Canada. Much like Simpson, Monet's goal is to provide customers with the latest technology and best quality products with fast and reliable support and dependable maintenance. By acquiring Monet, we expand our truss business by offering quality saws and proprietary saw interface software directly to our existing component manufacturing customers. Monet also gives us an entry point to new customers. And as discussed in our last call, our acquisition of CSD further enables us to offer a more complete suite of software solutions for our customers. In the residential market, we continue to gain market share in the Northwest by partnering with a large pro dealer customer. This benefits not only our connector business, but also our anchor and fastener products in each location, helping us increase our attachment rates. Additionally, we hosted purchasing teams and leaders from several national customers of our Gallatin, Tennessee facility to discuss opportunities with our innovative fastening solutions to our production plant and perform hands-on demonstrations. Each event included a visit to our future Gallatin facility job site driving home our commitment to investing in future growth and manufacturing in the USA. Our dedication to relentless customer service was recognized with several supplier awards announced in the third quarter, including awards from Do It Best, SouthernCarlson and David Weekley Homes. In the commercial market, our field support and dedication to educating engineers, distributors and contractors continues to earn specifications and generate demand in the field. Some recent examples include product specifications for a casino, a pier project and several structural steel buildings. Additionally, during the quarter, we acquired QuickFrames USA, the leader in engineered structural roof frames within the US, Canada and Mexico, which provide top-quality steel connection products to commercial contractors. And finally, in the OEM market, we developed a national relationship with a leading building products manufacturer to provide connectors and fasteners for their off-site construction solutions. We also saw continued growth in mass timber, providing connection solutions on several projects, including our newly offered temporary bracing for mass timber. The M&A pipeline remains active as we continue to evaluate tuck-in opportunities within our core competency that help us accelerate traction on our key growth initiatives. In regard to our facility investments, the expansion of our Columbus, Ohio facility remains on track to become fully operational in early 2025. The completion of our newly constructed fastener facility in Gallatin, Tennessee will follow in late 2025. Before I conclude, I'd like to highlight a few important corporate developments. As many of you know, our CFO, Brian Magstadt, announced his attention to retire effective at the end of the year 2024. Brian joined Simpson in 2004 and has been an integral part of the company for the past 20 years and helped champion our strong culture. On behalf of the entire Simpson team, I'd like to thank Brian for his invaluable contribution to the company that have resulted in extraordinary growth, improved profitability and increased stockholder value. We wish him all the best in his retirement. Our comprehensive search for a new Chief Financial Officer continues and we hope to have some positive news to share with you in the near future. Lastly, we are pleased to commemorate our 30th anniversary as a publicly traded company by ringing the NYSE closing bell in September. Since we went public back in May of 1994, we have evolved from an approximately $150 million in annual sales to a world leader in structural solutions with greater than $2 billion in annual sales and a total compounded annual growth rate in our stock of approximately 15%. I am incredibly proud of all that Simpson has accomplished, and I want to express my gratitude to our team members, valued customers, suppliers and stockholders for all of their contributions to our success over the years. In summary, despite near-term macroeconomic challenges, we remain optimistic in our ability to outperform US housing starts, which we now expect to decline in the low single-digit range from 2023 and grow in the low single-digit range in 2025. European housing starts are expected to decline in the high single-digits compared to 2023 with meaningful growth pushed out further into 2026 and beyond. As usual, we'll provide our 2025 outlook on our Q4 results call in February. With that, I'd like to turn the call over to Brian, who will discuss our third quarter financial results in greater detail.
Brian Magstadt: Thanks, Mike, and good afternoon, everyone. Thank you for joining us on our third quarter earnings call today. Before I begin, I'd like to mention that unless otherwise stated, all financial measures discussed in my prepared remarks, refer to the third quarter of 2024, and all comparisons will be year-over-year comparisons versus the third quarter of 2023. And Mike, I appreciate your comments as it's been a pleasure to serve as the company's CFO since 2012. I made the choice to retire from the company at the end of this year, concluding a rewarding 20-year career at Simpson. Working for Simpson has been one of the true successes and joys of my life. Simpson's employees are some of the best people I have ever known. Throughout my tenure, I've seen the company experience tremendous growth in all aspects. I could not be more proud of all that Simpson has achieved and of our adherence to Barc's principles, which continue to guide us this day. Although I will be retiring, I intend to remain as long as is necessary to bring my successor up to speed and will remain a shareholder. Now turning to our third quarter results. Our consolidated net sales increased modestly to $587.2 million. Within the North America segment, net sales increased by 1% to $461.4 million. Wood construction product sales were up 0.6% and concrete construction product sales were up 3.1%. In Europe, net sales increased 1.8% to $121.2 million primarily due to higher sales volumes and the positive effect of $1.5 million in foreign currency translation, which was partially offset by price decreases in some regions. Consolidated gross profit decreased 2.8% to $275 million, resulting in a gross margin of 46.8% compared to 48.8% due primarily to changes in product mix, investments to help us provide better support to our customers and higher factory overhead and labor costs. On a segment basis, our gross margin in North America decreased to 49.5% compared to 51.8% primarily due to higher factory overhead and warehouse costs as a percentage of net sales which were partially offset by efficiency gains. Our gross margin in Europe decreased to 36.6% from 37.9% primarily due to higher labor, factory and overhead, warehouse and freight costs as a percentage of net sales, which were partly offset by lower material costs. I'll speak to our European aspirations shortly. From a product perspective, our third quarter gross margin on wood products was 46.3% compared to 48.1% and was 48% for concrete products compared to 47%. Now turning to our operating expenses. In the last 12 months, the majority of the employees we've added are in sales, engineering services and digital solutions and we've increased investment in professional services, which are intended to drive forward our growth initiatives. Specifically, total operating expenses were $148.9 million, an increase of $7 million or 4.9%, primarily due to increased personnel costs, higher professional fees, greater advertising and trade show costs, which were partially offset by a reduction in variable incentive compensation and travel expenses. As a percentage of net sales, total operating expenses were 25.4% compared to 24.5%. To further detail our SG&A, our third quarter research and development and engineering expenses decreased 4.3% to $23.7 million primarily due to lower variable incentive compensation costs and lower professional fees, partially offset by an increase in personnel costs. Selling expenses increased 4.2% to $54.6 million, primarily due to the higher personnel costs. On a segment basis, selling expenses in North America were up 4.3%. And in Europe, they were up 3.1%. General and administrative expenses increased 9% to $70.6 million, primarily due to increased personnel costs and higher professional fees, particularly in our digital solutions space, in addition to higher amortization expense, partially offset by lower variable incentive compensation costs. These investments are intended to bring innovative solutions to our various customer markets. As a result, our consolidated income from operations totaled $124.9 million, a decline of 11% from $140.2 million. Our consolidated operating income margin was 21.3%, down from 24.2%. In North America, income from operations decreased 9.1% to $123.3 million, primarily due to reduced gross profit along with higher operating expenses from personnel costs, software licensing and IT costs, professional fees, intangible amortization expense and advertising and trade show costs, partially offset by lower variable incentive compensation. In Europe, income from operations decreased 18.2% to $12.6 million due to lower gross profit along with higher personnel and depreciation costs. As previously mentioned, we have been incurring costs this year to support the optimization of the European footprint, including the realization of defensive synergies from ETANCO, which has resulted in some margin compression over last year. Our midterm target of 15% operating income margin in Europe remains unchanged. Assumptions include improved economic conditions, the anticipated realization of our offensive synergies and broader secular trends, including the growing use of wood construction and increasingly stringent environmental regulations that drive new applications. Our effective tax rate was 26.1%, approximately 20 basis points higher than the prior year period. Accordingly, net income totaled $94 million or $2.21 per fully diluted share compared to $104 million or $2.43 per fully diluted share. For the third quarter, adjusted EBITDA of $148.3 million declined 6.6%. Now turning to our balance sheet and cash flow. Our balance sheet remained healthy with cash and cash equivalents totaling $339.4 million at September 30, 2024, down $15.4 million from our balance at June 30, 2024, due primarily to our recent acquisitions as well as changes in working capital, primarily raw material purchases. Our debt balance was approximately $465.4 million, net of capitalized finance costs and our net debt position was $126 million. We have $375 million remaining available for borrowing on our primary line of credit. Our inventory position as of September 30, 2024, was $583.4 million, which was up $49.8 million compared to our balance as of June 30, 2024 on higher pounds. While finished goods inventory is slightly elevated, we are working to reduce those levels in the fourth quarter while maintaining our high service levels. During the third quarter, we generated cash flow from operations of approximately $102.6 million compared to $200.9 million. We invested $106.5 million for capital expenditures, including our facility investments as well as acquisitions and paid $11.8 million in dividends to our stockholders. While we did not repurchase shares during the quarter, approximately $50 million remained available from our $100 million share repurchase authorization as of September 30. Now I'll turn to our updated 2024 financial outlook. Based on business trends and conditions as of today, October 21, our guidance for the full year ending December 31, 2024, is as follows. We now expect our operating margin to be in the range of 19% to 19.5%. Although it is still well above our pre-COVID average, this is below our expectation and ambition. We invested in a market environment that hasn't grown and has lagged our anticipated volume expectations. We are working to get our costs in line with the market and improve our overall profitability. Additional key assumptions include, a revised expectation for US housing starts to be down from 2023 levels, softer sales due to slowing construction activity in the wake of storms in the Southeast, a lower overall gross margin based on the addition of new warehouses and increases in labor and factory and tooling as a percentage of net sales. $4 million to $5 million in expected total cost to pursue defensive synergies in Europe as well as other acquisition opportunities and in the current challenging housing market, we are working to balance our growth-focused investments while ensuring we deliver a strong operating income margin. Next, interest expense on the outstanding revolving credit facility and term loans, which had borrowings of $75 million and $431 million as of September 30, 2024, respectively, is expected to be approximately $4.9 million including the benefit from interest rate and cross currency swaps, mitigating substantially all of the volatility from changes at interest rates. Interest on our cash and money markets is expected to offset this expense. Our effective tax rate is estimated to be in the range of 25.3% to 25.8%, including both federal and state income tax rates based on current tax laws. And finally, our capital expenditures are estimated to be in the range of $175 million to $185 million, which includes $90 million to $100 million for the Columbus facility expansion and the new Gallatin fastener facility construction with the remaining spend carrying over into 2025. In summary, while our third quarter results reflected a challenging environment, we have outperformed US housing starts by approximately 500 basis points on a trailing 12-month basis, as we've invested in improving the customer experience and expanding our offerings. While our solid balance sheet and cash generation support ongoing investments in growth that position us well to benefit from a recovery in US housing starts, we are focused on balancing our costs in the short-term with our growth strategy until we see a rebound in housing starts growth. With that, I will now turn the call over to the operator to begin the Q&A session.
Operator: Thank you. Ladies and gentlemen we will now be conducting a question-and-answer session. [Operator Instructions] And our first question will come from the line of Daniel Moore with CJS Securities. Please proceed.
Daniel Moore: Good afternoon, Mike, Brian. Thank you for taking the questions.
Michael Olosky: Hello, Dan.
Brian Magstadt: Hi, Dan.
Daniel Moore: And just let me start quickly, Brian. First, congrats to you, and thanks for all your help over the last 10 plus years. It's been greatly appreciated and wish you all the best. Hope, you have a chance to chat one or two more times officially at least.
Brian Magstadt: Thank you, Dan. Appreciate that.
Daniel Moore: Absolutely. Let me start with just kind of Q4 and the outlook. How much of an impact do you expect the hurricanes to have on your Q4 sales and op income as it relates to the revised guidance?
Michael Olosky: So, Dan, it's Mike. So we've certainly seen our customers had some real slowdowns in the Southeast from both the hurricanes. We've got some customers that have had some of their facilities significantly impacted. As the hurricanes were coming in, and we saw a lot of slowdown before and then a bit of a slowdown afterwards. There's also a little bit of concern that the storms are going to take labor that would normally go to new housing starts and take that to the repair and renovation piece. So we haven't really dialed in the specific guidance and how that's going to impact us. But for our business that operates in that area, the forecast for fourth quarter is definitely lower than we thought it was going to be.
Brian Magstadt: And, Dan, and it's Brian. So as we think about the fourth quarter, I would expect the gross margin pretty comparable, maybe slightly up from Q4 of 2023 and resulting operating margin a little better than Q4 of 2023 to get us into that 19% to 19.5% overall 2024 operating margin.
Daniel Moore: Understood. Helpful. And maybe turning to the outlook that you provided, start with the expectation of low single-digit growth in US housing starts as we think about '25. Maybe just talk about the key assumptions underlying that view. And is your longer-term target is to outpace by 250 basis points. You've obviously been doing better than that. So how do we think about your kind of expectations for growth above and beyond the market over the next 12 months or so?
Michael Olosky: So, Dan, we're getting input from our customers and then all the various forecasters. We use one group in particular because they can break down the market by regions, which aligns with how we run the business. And the feeling that we're getting is, it's going to be in the 3% to 4% housing start market next year in the US. Europe will probably be low single digits, 1% or 2% of the numbers that we're seeing from most of the forecasters. I mean there's still a lot of uncertainty. I think the general consensus is second half is going to be better than the first half. But as we've seen over the last the last six quarters, there's a lot of variability in how those housing starts ramp up and then ultimately slow down a little bit. I think the key point we want to emphasize is, we as a team, are not happy with our guidance of below 20% from an operating income perspective. We view 20% as the floor and we're going to do everything we can to get back there next year.
Daniel Moore: That's really helpful, Mike. And then I think you answered my next question about Europe. You indicated you didn't expect meaningful growth to come back until '26, but it doesn't sound like next year being down significantly either just flat to up slightly. Is that the way to think about your kind of near-term view?
Michael Olosky: Yes. So the governments in Europe and the Central Bank over there, they have started to lower interest rates. Housing starts across Europe is probably going to be down high single digits this year. So a bounce back to 1-ish%, 2-ish% growth would be a good thing. We are starting to see some increased activity just from a quoting perspective over there that we're feeling a little bit better on. The target there, really, though, Dan, is make sure that we hit that 15% operating income in the midterm and then really control costs until we see a significant jump up in the market over there.
Daniel Moore: Got it. And then it's been two or three quarters of modest retrenchment in terms of margins in Europe. Would you expect to start to see some improvement next year based on that forecast?
Michael Olosky: Well, a big part of that, Dan, is we're working on our defensive synergies over there and rightsizing our footprint. So Brian touched on some of those costs. Those obviously won't repeat. So we think that will help us lead to a better gross margin in Europe going forward.
Daniel Moore: Perfect. Very helpful. Maybe just quickly talk a little bit more about the acquisitions. I think Monet DeSauw and QuickFrames in terms of what they bring to the table, and then any trailing 12-month revenue EBITDA figures to give us a sense from a modeling perspective? Thanks again.
Michael Olosky: Yes. So if you look at Monet, Monet helps us offer a complete solution to component manufacturers and we had a big presence at the BCMC show a couple of weeks ago. That's the large trade show for truss manufacturers. We have a lot of really good feedback from customers of Monet that are not yet our current customers. And we had a lot of feedback from our current customers happy that we continue to expand our equipment offering. So we're pretty excited about that going forward. I think that's a fantastic company and Kevin who built that has done a wonderful job and by the way still with us. If you look at the combined revenue that we've had from those acquisitions in the US here in the US, it's less than $5 million impact in the quarter, Dan.
Brian Magstadt: And, Dan, I would say on a go-forward basis, I would expect for at least how we're looking through the balance of 2024, a little less than $10 million in total revenue on those. We're not disclosing -- for those acquisitions.
Daniel Moore: And that's for the total '24 impact to your P&L as opposed to Q4, is that right?
Brian Magstadt: No, no, no. That would be for the fourth quarter…
Daniel Moore: Okay.
Brian Magstadt: …the amount that we're modeling for our numbers so that we get to the operating income guidance based on current expectations.
Daniel Moore: Okay. Combined revenue from both less than $10 million for Q4.
Brian Magstadt: Right.
Daniel Moore: All right. I'll jump back into the queue. Thank you again.
Michael Olosky: And just to -- Dan, just to answer your QuickFrame piece that we're pretty excited about that because that gives us another tool to sell into the commercial space. So it's prefabricated structural support for things that go into the roof of commercial buildings. So it's a great fit for the business model. They've also built a good business. So we're pretty excited about that going forward as well. Okay. Operator, next question.
Operator: The next question comes from the line of Tim Wojs with Baird. Please proceed.
Timothy Wojs: Hey, guys.
Michael Olosky: Hey, Tim.
Timothy Wojs: Good afternoon. I'll echo my comments on Brian. Thanks for all the help. So we'll still talk, but I just want to acknowledge that.
Brian Magstadt: I appreciate that, Tim.
Timothy Wojs: Maybe just the first piece. So on the margin comments, I mean, I guess, Mike, kind of outlining that 20% margin is kind of the floor on an EBIT basis. I guess a) is that new because I want to say you said high teens in the past. And then secondly, I guess, how do you kind of get there next year? I mean, do you just kind of throttle back some of the investments and invest at a slower rate relative to the updated view on starts to get some benefits from raw materials? Are you actually going to cut investments? Just how do you kind of, I guess, adjust to this kind of lower level of market activity.
Michael Olosky: Good question. So as you know, Tim, one of our financial ambitions is to be in the top quartile of our proxy peer group. We think that the 21-ish% is right at that kind of top quartile range. And again, our view is 20% max. I mean we've got a great team. We've got a great business model. We need to be able to translate that into good profitability and 20% is good profitability. So anything below that, we are going to work to improve on. So the question then is how do we get there? So as you've seen from our SG&A investments the last couple of quarters, that's been well below our SG&A growth rates probably the last 18 months. So we will continue to dial that in. We're going to be even more selective on where we make investments and where we add both on the SG&A side and on the cost of goods side. The balance here is we want to provide great support to our customers. As you know, that's all part of being their supplier of choice and to do that is a people-intensive business model. So we need the investment and the cost of goods and we need it in the SG&A because they are, for the most part, single sourcing us, we just need to be more selective about making those investments, Tim.
Timothy Wojs: Okay. So it's not necessarily a cutting of the base. It's just being more selective relative to the growth rate is the way to interpret?
Michael Olosky: More selective, yes.
Timothy Wojs: Okay. Got you. Okay. And then second, just, Brian, can you help me with like the how to think about the gross margin sequentially because if I heard you right, it sounds like gross margins should be kind of flattish to maybe up slightly sequentially. I guess you have a lower revenue quarter. It sounds like you want to take some inventory down in the fourth quarter. So kind of what's the piece I'm missing there?
Brian Magstadt: Yes. So when we look at the annual to get into that operating income guide. We would assume flattish to just slightly up gross margin from last year. So last year, 43.9% fourth quarter gross margin. We've got some, as a percent of revenue, modeling our slightly higher, factory and tooling as a percent of revenue kind of warehouse as a percent, relatively flat, potentially benefiting a little bit on the freight line. And then we think we're in a really good position from a material perspective and there might be a little help there. But all-in, it's pretty close to those are the puts and takes to get us to, again, a flattish gross margin in the fourth quarter of '24 versus '23.
Timothy Wojs: Okay. Got you. Okay. I misunderstood a little bit of that. Okay. And then what was, in North America, what was the price mix kind of contribution in aggregate? Was it about flat in total?
Brian Magstadt: Yes. So we had a couple of things there. So as we look at one of our key metrics that we follow, as you know, is pound shipped. That's how we measure our volume increases, but not every pound shipped is worth the same dollars. So as we compared this year third quarter to last year third quarter, just the slight change in the mix of products that went out the door, slight, a little higher dollar per pound shift. There was a bit of an offset there was the bigger builders are getting bigger. Same thing with some of our distribution partners and consolidation. And as more sales go into those larger customers as a percent of the total, a little bit higher of a rebate paid relative to if more, call it, smaller customers or a bigger piece of the pie. So those were kind of the two that nearly offset.
Timothy Wojs: Okay. All right. Got you. And then I guess the last one I just have is, as you kind of bring on like the Columbus, Ohio facility. Is there a way to kind of talk about what the start-up costs for that might be or if there's going to be start-up costs with, I guess, that both coming online and then kind of Gallatin coming online later in '25?
Brian Magstadt: Sure. I think we'll be part of our 2024 guide, sorry, our 2025 guide that we'll come out with the fourth quarter, we'll provide some additional details on how all that's going to impact that year's operating income. From a Ohio perspective, we're adding to the existing footprint there. So it's, I'm not sure that there would be a significant amount of OpEx. We're moving, we're adding on additional space under roof on our existing spot. Gallatin, a little bit different. That's a spot that's across town. I would anticipate some moving costs and the like, but right now, we'll provide that a little more granularity on that in February.
Timothy Wojs: Okay. Understood. I'll hop back in queue. Thanks everybody.
Michael Olosky: Thanks, Tim.
Brian Magstadt: Thanks, Tim.
Operator: The next question comes from the line of Kurt Yinger with D.A. Davidson. Please proceed.
Kurt Yinger: Great. Thanks and good afternoon everyone.
Michael Olosky: Hi, Kurt.
Brian Magstadt: Hi, Kurt.
Kurt Yinger: I just wanted to start off on steel and maybe take it from two sides. The first is, I mean, just given what we've seen kind of on a year-to-date basis, maybe just talk about how that has impacted your maybe initial views on what gross margin could look like next year as we've gone through the last six months or so? And then on the other side, maybe more of a pricing conversation, have you seen any more kind of competitive actions out there? Maybe it's on the fastener side, where the competitor sets a little bit more fragmented or anything that would suggest that pricing and any declines there could be a conversation going into next year?
Michael Olosky: So from a steel perspective, Kurt, we're obviously keeping close track on that and we're feeling pretty comfortable with where we are cost-wise in that area. We are certainly seeing a lot of other costs go up to maybe counterbalance some of the stuff that you've seen from the steel market lately. But bottom line is, we feel, for the most part, the materials are going to our cost of goods, we're in a good shape on going forward. And then from a pricing perspective, again, Kurt, we're selling the value. We're less than 1% of the bill of material. We're bringing a ton of innovation. We're providing a ton of support to our customers. And so the emphasis is really on service. Of course, we get asked a lot about pricing and we try to emphasize the value that we're bringing to the table. At this point, we haven't really seen any significant moves from any of our competitors in this area from a pricing perspective over the last 6 to 12 months.
Kurt Yinger: Got it. Okay. That's helpful. And then just going back to the commentary around operating margins and the 20% floor. I guess, considering the level of investment that we've seen and kind of the starts assumption for 2025, is there a good framework to think about if starts are up low single-digits, do you expect to outperform that on the top line, that you think you can lever operating expenses still or I guess how would you have us frame that?
Michael Olosky: So if you go back a little bit, fourth quarter 2023 housing starts were up 4%. We go into the first quarter. We've got the Big Builders show. Everybody is pretty optimistic. All of the big builders are feeling really optimistic. Still a slight increase, 2% and then all of a sudden, second quarter, the housing starts kind of fell through the floor for lack of a better word and they were down 7%. So when we were going into this year, we were certainly assuming a lot better market scenario. And we just kept assuming it was going to pick up based off a lot of feedback from our customers, frankly. And you see the Big Builders do well, but it's the smaller builders in the multifamily that are not doing well. So when we look into next year, we are really trying to and we're not going to give guidance now, but we're really trying to make sure that we're at that 20% mark from an operating income level. And we're still working through the details and more to come when we announce our fourth quarter results.
Kurt Yinger: Got it. Okay. And then just lastly, wondering if there's any implications risks or opportunities around the true value bankruptcy filing and any exposure you might have there?
Brian Magstadt: Yes, Kurt, it's Brian. So we have sold to true value in the past and we're evaluating the potential buyer that they've announced who we sell to and have a really good relationship with. Of course, we need to see that transaction come to fruition. The revenue to true value itself, not a material amount for Simpson, but they have been one of our co-op customers in the past. So we'll continue to evaluate how that news is coming out as far as do we put them, do we extend credit, do we how are we selling to them. Those are conversations we're having right now.
Kurt Yinger: Makes sense. Okay. Appreciate the color guys. Thank you.
Michael Olosky: Thanks, Kurt.
Brian Magstadt: Thanks, Kurt.
Operator: Thank you. This concludes today's question-and-answer session and this will also conclude today's conference. You may disconnect your lines at this time and thank you for your participation.